Operator: Good afternoon, everyone, and welcome to AXT's First Quarter 2012 Financial Conference Call. Leading the call today is Dr. Morris Young, Chief Executive Officer; and Raymond Low, Chief Financial Officer. My name is Matt, and I will be your coordinator today. Just a reminder, today's call is being recorded. I would now like to turn the call over to Leslie Green, Investor Relations for AXT. 
Leslie Green: Thank you, Matt, and good afternoon, everyone. Before we begin, I would like to remind you that during the course of this conference call, including comments made in response to your questions, we will provide projections or make other forward-looking statements regarding, among other things, the future financial performance of the company and our ability to control costs and improve efficiency, increase orders in succeeding quarters, improve our competitive position as the market improves, as well as other market conditions and trends. 
 We wish to caution you that such statements deal with future events are based on management's current expectations and are subject to risks and uncertainties that could cause actual events or results to differ materially. These uncertainties and risks include, but are not limited to, overall conditions in the markets in which the company competes, global financial conditions and uncertainties, market acceptance and demand for the company's products and the impact of delays by our customers on the timing of sales and products. 
 In addition to the factors that may be discussed in this call, we refer you to the company's periodic reports filed with the Securities and Exchange Commission and available online by link from our website for additional information on risk factors that could cause actual results to differ materially from our current expectations. 
 This conference call will be available on our website at axt.com through May 2, 2013. 
 Also before we begin, I want to note that shortly following the close of the market today, we issued a press release reporting financial results for the first quarter of 2012. This press release can be accessed from the Investor Relations section of AXT's website at axt.com. 
 I would now like to turn the call over to Raymond Low for a review of the first quarter 2012 results. Raymond? 
Raymond Low: Thank you, Leslie. Revenue for the first quarter of 2012 was $23.5 million compared with $21.2 million in the fourth quarter of 2011. Total gallium arsenide substrate revenue was $12.2 million for the first quarter of 2012 compared with $11.1 million in the fourth quarter of 2011. Indium phosphide substrate revenue was $1.5 million for the first quarter of 2012 compared with $724,000 in the fourth quarter of 2011. Germanium substrate revenue was $2.7 million for the first quarter of 2012 compared with $3 million in the fourth quarter of 2011. Raw material sales were $7.2 million for the first quarter of 2012 compared with $6.4 million in the fourth quarter of 2011. 
 In the first quarter of 2012, revenue from North America was 22%, Asia-Pacific 58.6%, and Europe was 19.4% of total revenue. One customer generated more than 10% of our revenue during the first quarter, while the top 5 customers generated 42.5% of our first quarter revenue. Gross margin in the first quarter was 34.9% compared with 36.9% of revenue for the fourth quarter of 2011. The drop in gross margin was the result of lower raw material pricing and a strategic decision to accept a lower gross margin on certain business opportunities in order to strengthen our competitive positioning with certain customers. 
 Selling, general and administrative expenses were $3.8 million for the first quarter of 2012 compared with $3.9 million in the fourth quarter of 2011. Research and development costs were $835,000 for the first quarter of 2012 compared with $657,000 for the fourth quarter of 2011. This increase is attributable to the addition of our new chief scientist, as well as higher costs on new product testing and development. Total stock compensation expense was $281,000 for the first quarter of 2012, of which $18,000 was included in cost of revenues, $238,000 in SG&A and $25,000 in R&D. 
 Income from operations for the first quarter of 2012 was $3.6 million compared with income from operations of $3.3 million in the fourth quarter of 2011. Net interest and other expense for the first quarter of 2012 was $247,000. Net income in the first quarter of 2012 was $1.6 million or $0.05 per diluted share. This compares with net income of $2.6 million or $0.08 per diluted share in the fourth quarter of 2011. 
 Let's now look at our cash and the balance sheet. Cash and cash equivalents with maturity of less than 3 months, short-term investments and other investments in high-grade debt securities with maturities of less than 2 years, were $46.1 million at March 31, 2012, a strong increase from $40.6 million at December 31, 2011. Accounts receivable, net of reserves, were $16.6 million at March 31, 2012 compared with $18 million at December 31, 2011. Days sales outstanding were 59 days for the first quarter compared with 78 days for the fourth quarter of 2011. Net inventory was $42 million at March 31, 2012, compared with $46 million at December 31, 2011. Of this, approximately 53% is raw materials, 35% is work in progress and 12% is finished goods. We believe that we'll continue to see a decline in our inventory over the coming quarters. Depreciation and amortization in the first quarter was $907,000 and capital expenditures were $1.2 million. 
 As of March 31, 2012, the company, including our consolidated joint ventures, had 1,295 total employees, of whom 1,002 work in production. 
 This concludes our review of the results. I will now turn the call over to Morris. Morris? 
Morris Young: Thank you, Raymond. The first quarter was a somewhat mixed quarter for AXT. After a difficult start to the year, the demand environment in March showed steady improvement and appears to be holding as we move into the second quarter. We are pleased to see a strong increase in our semi-insulating substrates for wireless devices after 2 challenging quarters in the second half of 2011. We saw similar rebounds in the market for semi-conducting and indium phosphide substrates, placing us at the high end of our revenue guidance range. However, gross margin declined to the bottom of our target model as a result of a strong decrease in raw material pricing as well as strategic decision to leverage our profit margins in order to strengthen our competitive position for certain business opportunities. Therefore, while we did underperform our earnings per share expectation, we remain profitable, cash-positive and well-positioned to take advantage of market growth as the demand environment improves over the balance of the year. 
 So let's take a little closer look at the dynamics of our business in Q1. As I mentioned, sales of our semi-insulating substrates, used primarily for manufacturing wireless devices, increased by more than 20% in the first quarter, following a challenging second half of 2011. Bookings for our semi-insulating substrates got off to a slow start in Q1 but showed a marked improvement late in the quarter and have continued to improve in Q2. We believe this is the result of both strengthening general market conditions, as well as the increase in sales to our largest customer. Bookings for April have been solid. We are on track to show growth in this area of our business in the second quarter, providing that the demand environment holds. Our checks with our direct customers indicate that demand will continue to be solid, but some mixed market news is prompting us to take a more conservative approach in our forecasting. 
 Looking beyond the immediate quarter, our ongoing qualification with prospective customers are progressing and we are optimistic that they will contribute to our results in future quarters. 
 Similar to semi-insulating substrates, sales of our semi-conducting substrates, used primarily in the manufacture of LEDs, got off to a slow start in Q1 as a result of a weaker demand environment. However, sales increased quite significantly late in the quarter, finishing approximately flat with Q4. We're particularly pleased with the success of our strategy to expand our business in Asia, which has resulted in growing revenue and are expanding our customer base. This area will continue to be a focus for AXT in 2012 and we are optimistic for continued growth and diversification. 
 In general, gallium arsenide market appears to be poised to gain strength again this year. According to new development, a market research focused on semiconductor and other high-tech industries, double-digit growth is expected to resume in 2012, driven by increasing gallium arsenide content in handsets and increased penetration of the LEDs in general lighting and automotive applications. The capacity expansion of our direct and indirect customers further supports this expectation. And although recent growth has been more muted, secular growth industry trends and a growing number of applications for gallium arsenide substrates should drive demand in the coming years. 
 Turning to germanium substrates. While we experienced a decline in our revenue in the first quarter, the demand environment for satellite solar cells has remained fairly steady. The decline in Q1 is more related to the timing of orders based on the normal ebbs and flows of the solar cell industry. In terms of the CPV market, we continue to see progress in the development of CPV technology for use in the terrestrial solar cell applications. As we mentioned last quarter, the conversion efficiency for CPV using germanium substrates is increasing meaningfully and this, coupled with the growing body of evidence supporting the reliability of CPV, will continue to drive its adoption over the next several years. Further, we are participating in a new solar cell technology that leverages gallium arsenide substrates, a secretable component in CPV-based solar sales. The efficiency of this new technology rivals that of germanium-based solutions and reinforces the possibility that CPV, as a technology, will eventually succeed. Whether germanium or gallium arsenide becomes the ultimate winner, AXT is poised to benefit either way. 
 Finally, turning to raw materials. Several raw material suppliers, including our own joint venture, have been expanding their capacity over the last several quarters in preparation for stronger future demand. In the short term, this has caused an increasing supply of raw materials, and in turn, is contributing to lower pricing for these materials. While the drop in pricing over the last few quarters has been substantial, the opportunity for greater future production will be highly beneficial as the demand environment strengthens. 
 During the first quarter, our third-party sales of raw material increased over the prior quarter. This was a function of greater capacity at our joint ventures. And because with AXT working on our own inventory of raw materials, there was more raw material available for our joint venture to sell on the open market. However, the profit margin declined as a result of the decrease in raw material pricing. 
 Looking to Q2, we're expecting a decline in raw material sales to a more normal customary level, as well as a more modest decline in raw material pricing. Additionally, we expect to work through the remainder of the higher-priced raw material in our own inventory through the balance of the second quarter. This is expected to allow us to begin to see the benefit of current lower raw material prices in our substrate cost beginning in Q3. This should provide us with a positive leverage to our model in the third quarter. 
 In closing, while we are approaching the current business environment with measured conservatism based upon mixed industry data points, we are optimistic that the market will improve in 2012 as a result of positive demand trends in our space. We believe that we are well-positioned competitively to benefit from the strengthening wireless market as well as the proliferation of LEDs in a number of applications including solid state lighting. Further, we continue to execute well on our diversification strategy and are making good progress in the many ongoing qualifications across the product portfolio. As we approach a new cycle, we are encouraged by our growth potential in 2012 and we are actively preparing our company to take advantage of the many opportunities ahead. 
 I will now turn the call back to Raymond to discuss our forward-looking guidance. Raymond? 
Raymond Low: Thank you, Morris. In the second quarter, provided the demand environment holds to what we are currently experiencing, we are expecting to see an increase in our sales of gallium arsenide substrates, offset by a decrease in third-party sales of raw materials. It is likely that gross margins may decrease to the low to mid-30% range as a result of our both lower raw material pricing and the flow-through of our strategic decision to accept a lower gross margin on certain business opportunities. Therefore, we expect total revenues of between $23 million and $25 million. We are expecting net income in the second quarter of between $0.04 and $0.06 per share based on approximately 33 million common shares outstanding. 
 This concludes our prepared comments. We are now happy to answer your questions. 
Operator: [Operator Instructions] At this time, we will take the first question. This will be a from Edwin Mok with Needham & Company. 
Y. Edwin Mok: My first question, just to clarify on your commentary there, Morris. You guys have taken a little more conservative approach on the gallium arsenide business because you've heard some of these negative data points like TriQuint and some of those end customers? Is that correct? But then your direct new wave from a customer sounded more positive? Did I hear that correctly? 
Morris Young: Yes. 
Y. Edwin Mok: I see. So if you're a direct customer, what the feedback from you turns out to be true. There could be upside from that part of your business. Is that correct? 
Morris Young: Yes. 
Y. Edwin Mok: Okay. That's fair, great. And then I have a question around your kind of raw materials in 3 days that you talked about, right? If you produce your own raw material, why would you have higher-priced raw material in your inventory? 
Morris Young: Well, if you buy the raw material in the open market whether we buy it from our own JV or remember, Edwin, this is a joint venture. So we buy this, it's an online transaction. We work down the price with them. So whatever that market price is, and if we enter in a contract, a long-term contract or whatnot, we have to uphold the promised price we purchased. And they have to uphold the lower-priced purchase in case price went up. 
Y. Edwin Mok: I see. So you said that on your prepared remarks, you said that you think that you can probably work down that high cost inventories throughout the second quarter. Does that mean that -- and for the gross margin guidance you talked about kind of the mid-to-low 30% in this coming quarter as a result of higher cost inventory, right? Does that mean that you think your margins can bounce back in the September quarter and I know it's a very complex question regarding gross margin, but what level of gross margin do you think you can get back to? 
Morris Young: Well, Edwin, yes, you're absolutely right. The gross margin is a complex question, especially we deal with so many different products. As far as particular, gallium arsenide, and if we were to work down our high priced inventory then our margins should improve. But don't forget, the raw material, if the price keeps on dropping, then that would negatively impact our gross margin there. But it depends upon what the total revenue is more on gallium arsenide and obviously, the impact of the gross margin positive improvement is going to benefit us more there. 
Y. Edwin Mok: I see. And then if I take your guidance right, if I take a column to a low 30% gross margin and put it in the model, I get a slightly higher operating expense sequentially? Can I ask why? Or I might -- did I get it correctly? 
Morris Young: Raymond? 
Raymond Low: Wait, so just repeat that please, Edwin? 
Y. Edwin Mok: Yes, sorry. If I take your midpoint of your guidance then pluck in the lower gross margin like 32% or something like that I get to a -- in order for me to hit the midpoint of your EPS guidance, I think your OpEx would have increased? 
Raymond Low: No. OpEx is going to remain the same. There's another line item right at the bottom there called minorities. That just depends how profitable the joint ventures are. And of course, since we don't own 100% of those, we had to cage it for the outside minorities. So the more profitable they are, the higher that expense is to the outside minorities. 
Y. Edwin Mok: Okay. So that's probably why my assumption there is probably different from yours. One last question then I'll go away. On kind of the -- there is a market on maybe -- you're talking about germanium is more just timing and then you talk -- also talked about gallium arsenide probably going to grow both semi-insulating and semi-conducting. Can I ask you just to clarify for us at least directionally, what are you baking in your assumption for the guidance in terms of these end markets where I think you talked about raw material being down than maybe -- but what about the other markets? 
Raymond Low: I think raw materials being down is a function of the pricing because we still think the volume of raw materials is going to increase. 
Morris Young: Substrate, yes you're right. I think if market condition doesn't change drastically, I think both semi-insulating and semi-conducting should go up, yes. And germanium is sort of flattish. 
Y. Edwin Mok: I see. Sorry, one more question and I'll go away. You talked about being a little more aggressive in pricing. That resulted in the low gross margin for the current quarter. Can you clarify that a little bit? Is it just your competitor or are you trying to be more competitive or is this specific business you're going after that leads you guys to do that or is that more across-the-board? 
Morris Young: No. It's not across-the-board, I mean, but there were some opportunities that we decided that we should be more aggressive and then take the business opportunity. And looking forward, if we can recover our margin because of the increased business because, don't forget, in the first 2 months of Q1 our business was quite dismal and it really drives us to be more aggressive in terms of pricing. 
Operator: At this time, we will hear from Avinash Kant with D.A. Davidson. 
Eric Ramos: This is Eric Ramos in for Avinash. Just a few questions. Why did your shareholders equity decrease in Q1 from Q4? 
Morris Young: Particularly, if you're looking at the noncontrolling interest, is that what you're looking at? 
Eric Ramos: No. Just specifically the shareholders equity minus the... 
Raymond Low: Yes. There's 2 components in it. The total shareholders equity actually went up and then the noncontrolling interest which is also a part of total stockholders equity, that went down. And that was due to the dividends declared by those minority JVs. 
Eric Ramos: Okay. And then I was wondering if you can update us on your new qualifications? When do you expect those to start to ramp up? 
Morris Young: Well, in the last quarter, we don't have any new qualification results that we can report to you. And in Q1, obviously, we reported to our shareholders that we had 2 qualification wins and we continue to work on other qualifications and as soon as we have good results, we will report to you. 
Eric Ramos: And then what was the split between semi-conducting and semi-insulating for the quarter? 
Raymond Low: Funny enough, 50-50 this quarter. 
Eric Ramos: Okay. And what percentage of your sales goes directly or indirectly to TriQuint? 
Morris Young: Well, TriQuint is not a direct customer. So it's very difficult for us to assess. But we know they are one of the large end customer vows but we don't know exactly the percentage. 
Eric Ramos: Is it greater than 10% would you say or... 
Morris Young: Well, I mean, our direct customer is IQE who is more than 10%, but to what extent they supply into TriQuint is difficult for us to estimate. 
Operator: At this time, we'll go to Richard Shannon from Craig-Hallum. 
Richard Shannon: Just a follow up on one of the previous questions regarding the second quarter revenue guidance so just to encapsulate all this in terms of directional movement. Sounds like wireless is up, raw materials is down and I think I missed the other one. Is LED -- is that something that might be growing? 
Morris Young: Yes. LEDs, we expect it to be up. 
Richard Shannon: Okay and then so -- and I think you said germanium down. Is indium phosphide also... 
Morris Young: Germanium is sort of flattish. 
Richard Shannon: Flattish. And is indium phosphide? 
Morris Young: It's probably -- it's sort of flattish. 
Richard Shannon: Okay, fair enough. On raw materials pricing, I guess, specifically on gallium. What was the price that you saw on the average during the quarter and ending the quarter?  And Morris, what's your view on where that can go over the next, I don't know, a few months or however far out your crystal ball goes? 
Morris Young: Well, the gallium price is -- you can look up the Metal-Pages as I always refer everybody to look into. But of course, that pricing is more of sort of a smallest locked pricing, but it does give you a good indication where it goes. As we indicated, that gallium price keeps on going down still hopefully it's stabilizing a bit and where does it go? I wish I knew. Because if you know for sure, you can take a position now and you can make tons of money on it. And so I would cautiously say nobody really knows. The dynamics of the gallium pricing, I would say it this way, gallium is a very diversified usage in the whole industry. They will talk about gallium being used as a petroleum catalyst. I mean, people are talking about using up to 10 tons. And obviously, gallium arsenide usage is a big portion and yet, the other big application is gallium nitride. The general lighting and LED industry, other than gallium arsenide, but also gallium nitride, is a big demand. And also gallium is used as a catalyst or a dopant for a magnet. So -- but on the negative side, as far as pricing influence is concerned is because of the high pricing in the last few quarters, it drove a lot of capacity expansion happening and that's why there is an oversupply or more than the demand. But when will it be balanced? Who knows. I think the other dynamics as I'm thinking out loud is also, not everybody, not every gallium producer's cost is the same. In some areas, your gallium-producing cost is higher than the other. And I think fortunately, for our joint ventures is that we believe that we have the most cost-effective producing facility in China. And so, long before many other high-cost producer of gallium will quit their production, our gallium will keep on cranking it out. So it's the balance of when the price of gallium dropped a certain point, certain gallium producers will not produce it anymore because they lose when they produce more. 
Richard Shannon: Is the price that we're sitting at today, is that below the point where you think it's uneconomic for some of these guys and some... 
Morris Young: Well absolutely. I think I mean, the margin number not long ago the less common --  they had the confidence, they were proclaiming somewhere around $400 is the critical support point. And I believe, when I was -- 10 years ago, there was room for long was still in the business, they were talking about $500 was the bare minimum for it on gallium . So I think, depending about different company and different region and not everybody's cost is the same. 
Richard Shannon: Okay. Regarding your joint ventures gallium capacity, you talked about adding capacity at least last quarter and I think it was the last couple of quarters. What's your overall viewpoint? Are they still adding capacity at the same rate? Is your expectation of volume this year higher or lower than last quarter? And is there any way to quantify in percentage terms how much approximate volume growth you might have this year in gallium? 
Morris Young: Richard, that is a very difficult question to answer because if you take a position on gallium, not only our direct joint venture but we have other joint ventures who owns the other joint venture who controls gallium. The key to the gallium, we believe, is that gallium is a natural resource. Today, you may think it's too much. But a year from now or 6 months from now, you'll think it's too little. And it's a natural resource which you cannot reproduce it. So while you can, you should try to get hold of it or create ownership of it as much as we can especially that's in our strategy. But whether that's going to be too much, I think part of the problem in the industry is when the price went up so high and the demand seems to be -- there's no end for increasing demand, then everybody's going to increase their capacity as if they are owning the whole market. So if everybody thinks the same way, then you obviously have overcapacity. But I think fortunately, Richard, gallium is not like iron or copper. It's not over abundant. I mean, it's a limited resource. I mean, pretty soon you're going to be out of capacity and it's very much dependent upon aluminum producing and also the content of the -- gallium content in the aluminum bauxite. So I think it's going to reach its equilibrium pretty soon. 
Richard Shannon: Okay. One last question for me, I'll jump out of line. You mentioned being strategically more aggressive in pricing with certain customers. Can you identify which end market or markets that was occurring in? 
Morris Young: No. Richard, I think for competitive reasons, we don't want to say it. 
Operator: And at this time, we will hear from Dave Kang with B. Riley & Co. 
Dave Kang: Morris, the first question is -- so, your top end customer expects -- they expect Q2 sales to decline 18% and yet you're expecting your semi-insulating business to be up in Q2. So are they building inventory then? And can you just -- I know you don't give guidance for Q3 and Q4, but can you qualitatively talk about what we should be expecting in the second half if that is the case? 
Morris Young: Well, Dave, we already said in our script, we took that data point into our consideration. We did check with our direct customer. The demand so far is solid and we took even some haircut on that and took some conservatism but we can't really tell. You have just as much information access to TriQuint or whoever -- the whole industry, as a whole, what the demand environment looks like. And so for us to be able -- it's difficult for us to maneuver and predict how much inventory build and how much is their usage. 
Dave Kang: Got it. Just any update on activities with potential new customers, especially any major ones in the pipeline? 
Morris Young: Well, as I've said, we don't have anything to report this quarter. We had 2 qualification wins last quarter. They are contributing to our revenue stream and if we have more good news to report, we will definitely be happy to report back to you. 
Dave Kang: And then on the LED side, I mean, are you now living with diversified before your heavy exposure to the Taiwanese market? What about like China, Japan and Korea and even Europe? 
Morris Young: Well, I think as we've said, we were glad to say that we have diversified into the China market. We have took a very strategic move to capture part of the Asian market that we think we are enjoying the fruits of those markets and they are growing fairly nicely today so... 
Dave Kang: How big is China right now? 
Morris Young: I think, from what I see, is the growth rate is probably the highest. But percentage wise, they are still not that big yet. 
Dave Kang: And I know someone asked already but is China, I mean, is that where a lot of pricing or your being aggressive with pricing especially in China? 
Morris Young: No, not necessarily. I think, China market is -- we are aggressive but again, it depends upon what customer and what particular market we're addressing. 
Dave Kang: I see. And then last question for me is if I look at the Metal-Pages, gallium price right now is around $400, down from $500 just a couple of months ago. But do you remember what's the lowest point in the last 4, 5 years? I mean, what's the downside from $400? I looked at the last 4 or 5 years and it seems like I don't think it's ever been this low. Do you recall? Can you recall what the lowest point is? 
Morris Young: Yes. I think I recall the lowest I have ever seen was $320. 
Dave Kang: $320? And when was that? 
Morris Young: I think it was around 2008. 
Dave Kang: 2008. So like before the financial crisis then or during the financial crisis? 
Morris Young: Yes. 
Operator: [Operator Instructions] At this time, we will hear from Tom Sepenzis with Northland Securities. 
Thomas Sepenzis: I think most of my questions have been answered at this point, but can you tell us other than IQE, if you have any other 10% customers in the quarter? 
Raymond Low: No. Only the one. 
Thomas Sepenzis: Okay. And can you just talk a little bit about the solar market and the expectations maybe for the next year there because that one seems to be a roller coaster ride. So any kind of insight you could give us as to what you expect that business to do over the next year would be helpful? 
Morris Young: Sure. I think there are 2 components of the solar market. One is the satellite market. I think that is sort of steady and the most dynamic segment of the market is the CPV market. And it's not lacking of innovation of high efficiency of the germanium solar cell or even gallium arsenide as a substrate solar cell. They are performing extremely well but because of the uncertainty in the financing market, the whole industry seems to be pushing the implementation of this better technology ever further. But then latest we heard, I mean, not long ago, we had a major customer talking to us about a huge project they are trying to implement to generate power for some mid-eastern countries. And we still are in negotiation or talking to them about it, but who knows when it's going to be implemented because it depends upon not only on the technology, but also because of the funding, available funding and a proven track record, et cetera, to get it going. But I would definitely say, although the solar cell industry especially silicon and even recently, more spread to the same field as the solar cell as everybody is aware is very ugly these days. But I think the solar -- CPV solar cell, it never took off so you can never ride it down that much. But on the other hand, there's a lot of activities, I can tell you. Talking about the possibilities as I said, including using gallium arsenide as the substrate for CPVs. And the main benefit is it is so darned efficient. The efficiency can be increased by almost 100%, as against silicon. So you know in silicon in most solar cell industry, 1 percentage efficiency improvement is a great deal. So not to talk about doubling it. 
Thomas Sepenzis: Yes. That would definitely be impressive. So do you expect growth then this year in that market? 
Morris Young: No. It's definitely not baked into our projections, let me put it this way. Although we don't give -- we only give projections quarter-to-quarter, but we are guardedly optimistic but we don't count it until we get orders from our customers. 
Thomas Sepenzis: Great. And similarly, the LED market, you added the 2 customers at the end of the last quarter and what are you seeing there? You said that the first 2 months of the March quarter were terrible. Does that go through to the LED market as well or was that mainly from some of the other markets that you serve? 
Morris Young: The LED didn't recover until the third month of the first quarter. So, yes. 
Thomas Sepenzis: And that looks to be a little bit firmer now going forward? 
Morris Young: Yes, I think so. And that, perhaps doesn't have the uncertainty data point as the wireless market was. 
Thomas Sepenzis: Great. And just a broader question, you have all the gallium arsenide component makers Skyworks and Novogo and TriQuint, et cetera, talking about the increased gallium content within the handsets and obviously tablets and other devices. There just seems to be a little bit of a disconnect with that and the pricing for gallium. So I'm just curious as to how quickly you think that could change or why there's supposedly increased demand for gallium products and yet, still we are seeing lower prices for the raw material itself? 
Morris Young: Well, I think the raw material that it has its own dynamics. It doesn't care whether you have more demand, because gallium arsenide after all, is not the only demand. And also you have to enter in the equation of supply. Even though the demand increases tremendously, let's say if you were to double or triple the capacity of supply then, obviously, there's a glug in terms of supply. And also depending on the selling price. When gallium was selling $1,000 kilogram, some unexpected mine becomes active and they were not competitive when the price is low and now, obviously, they become producers. But when the price normalized, and those we expect to get out. 
Operator: At this time, we will hear from Colin Rusch with ThinkEquity. 
Noah Kaye: This is Noah Kaye in for Colin. I wonder if you could touch on what the regulatory looks like -- environment looks like in terms of environmental regulations for a material supply chain in China? How does that look to you? Is there anything that we should be thinking about coming down the pike? 
Morris Young: Sure. The world is ever more increasingly conscious about environmental protection and let's just touch upon one regulatory issue in Europe. There's a program called REACH. The European Union was talking about banning all gallium arsenide or any arsenate content devices and potentially because it's carcinogenic. But of course, it's still in the discussion phase. So we hopefully, we can convince the European Union that gallium arsenide is a very important part of the link of the modern world to use wireless spectrum. In China environment, yes, the regulation and the requirement over there is getting tighter and tighter. In fact, arsenate was 1 of the 14 major heavy metals being regulated heavily in China. So -- but we, I say operation in China, we have a long history. We operated there for 12 years. We carefully monitor all our outputs and we have always been operating in the law and well within, let emphasize the limit that is permitted by the Chinese government. 
Noah Kaye: And looking forward, how do you expect this to evolve in China? 
Morris Young: Well, I think China government, China will definitely always push for more efficient use of energy, less pollution in terms of both water, air as well as utilization of power to produce more GTB. But I think when you see this new facility in Tianjin, the China government is very much appreciative of the high-tech industry it is bringing to the local economy and they recon that gallium arsenide substrate and Indium phosphide as well as germanium are very important link to the whole health of the industry. And so pollution is one thing. You need to spend the money, effort and technology to control it but also you have to look at what the benefit it would bring you. For instance germanium, if you can produce very high efficient solar cells, you can cut down on the carbon output of generating power. In exchange for the water you will use and electricity you would have to use to produce that germanium crystal. 
Operator: At this time, we will hear from a follow-up from Edwin Mok with Needham & Company. 
Y. Edwin Mok: Morris, if I look at your first quarter results, right, and your top line of $23.5 million and then I went back to your history and looked at column let me see, second quarter 2010 you have a similar revenue run rate but you're running a lower gross margin and your OpEx is around $1 million higher now, right? Do you see a need to kind of maybe think about your business more a financial model and maybe cut back a little bit on the OpEx level? 
Morris Young: OpEx. How much did we increase in OpEx, Raymond? 
Raymond Low: I have to go back. I don't have 2010. I've just got up to 2011 back here. Sorry, Edwin. 
Morris Young: I mean, we certainly are not giving everybody a huge salary increase, that's for sure. We did hire a chief scientist, I think it's very much called for because that we can expand our capability and improve our service to our customers and improve our understanding of the material we sell and expand our business. I think gross margin-wise, Edwin, I would like to discuss this way. They're a part of our business which the customer always wants a lower price, that's given, okay? But in the meantime, our raw material price depends upon raw material being high or low. At this point, I would argue that we have hit a double whammy. In other words, the raw material price is low which is bringing less bacon to home from our joint ventures and yet our raw material price, our inventory in making substrates is relatively high because we had some high inventory, high-priced inventory and we need this quarter to burn off. So when you look at next cycle, hopefully, beyond the second quarter, you would start to see the substrate margin improving. But I can't predict when the raw material price will start to go up again. But I can tell you it would definitely will I mean, because you don't make more gallium in the world. And it's a matter of when. Then you're going to have the benefit from -- you're going to have deja vu again. I mean, from 2010, you can see how powerful our margin model looked like. 
Y. Edwin Mok: Great. That was good color there. One last question I have on the minority interest. You mentioned that a little on the balance sheet that came down because of this one-time dividend. Did that -- was that just a balance sheet event that impact your cash or did it actually flow-through in the P&L as well? 
Raymond Low: If you look, it was basically a noncash item. It was basically just the balance sheet. We actually have 2 individual JVs declaring dividends, one paid out something in cash and the other didn't so it was just accrued on the balance sheet. The larger portion was a noncash. Actually, Edwin, I'm just looking now. If you're looking at Q2 2010, they were selling artificially low in Q2 2010. That's why the SG&A was off by about $300,000. 
Operator: And now we'll take a follow-up from Tom Sepenzis. 
Thomas Sepenzis: Let's just say that the raw materials pricing starts to go back up or on the best possible scenario, doubles in the next 3 to 4 months or something like that. Would you expect the same unit volume of sales or would that the volume slow down? 
Morris Young: Well, obviously, when the price goes up, the volume goes up. In fact, it's the other way around. When volumes drives up, then the price goes down. 
Raymond Low: Yes. But I don't think, Tom, that doubling in a couple of months, that's too quick. 
Thomas Sepenzis: No, I just meant if the prices started to go up, that you should see your margins then increase alongside that. 
Morris Young: Yes. I would venture to say, compare us today versus early 2009. Our gallium capacity more than doubled, okay? And price is about the same or right now, it's still slightly higher than what it was but when you will work yourself out to the equilibrium and then stop dropping and then start to go up, you can't -- history usually doesn't repeat itself. I mean, look in 2008, you didn't have the solid state lighting outdoors and have you ever checked the LED lightbulb recently in your local hardware store? It's -- for $12 you can buy 3. And in fact, I was in Beijing, I went through a shopping mall and they had a renovation of a huge shopping mall and everything inside was using LED lighting. I was really astounded in how much LED. In fact, there was other news was that LED lightbulb makers in Taiwan were out of inventory. They can't make it fast enough. But of course, the unknown is how much it will contain gallium arsenide in the red LEDs. I know for sure on the other side making the blue LED exciting and faster is definitely a very, very robust business. 
Thomas Sepenzis: Great. But we shouldn't expect then revenues to decline as the prices increase because it's just that the capacity that you have is higher now? So we should actually expect raw materials to increase as the prices go up? 
Morris Young: Yes. I guess that's fair. But I'm not predicting that gallium price is going to go up anytime soon. 
Operator: This does conclude the question-and-answer session portion. At this time, I will turn it back over to Dr. Young for any additional or closing remarks. 
Morris Young: Thank you for participating in our conference call. This quarter, we will be participating in the Jefferies Global TMT conference, the B. Riley 13th Annual Investor Conference, the Craig-Hallum Institution Investor Conference and the and the D.A. Davidson Technology Conference. We're looking forward to seeing many of you there. As always, feel free to contact me, Raymond or Leslie Green directly. If you would like to meet with us, we look forward to speaking with you in the near future. 
Operator: And that does conclude today's conference call. We want to thank you, all for your for your participation. You may now disconnect.